Operator: Good morning, everyone. I will be your conference operator today. At this time, I would like to welcome everyone to Advent Technologies First Quarter Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session for Advent's analysts.  On the call today, we are joined by Dr. Vasilis Gregoriou, Advent's Chairman and CEO and Kevin Brackman, Advent's CFO. Before we begin the prepared remarks, we would like to remind you that Advent issued a press release announcing its first quarter 2023 financial results, shortly before market open today. You may access the materials on the Investor Relations section of the company's website, www.advent.energy.  I would also like to remind everyone that during the course of this conference call, Advent's management will discuss forecast targets and other forward-looking statement regarding the company's future customer orders and the company's business outlook that are intended to be covered by the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995, for forward-looking statements. While these statements represent management's current expectations and projections about future results and prove more performance as of today, Advent's actual results are subject to many risks and uncertainties that could cause actual results to differ materially from those expectations.  In addition to any risks highlighted during this call, important factors that may affect Advent's future results are described in its most recent SEC report filed with the Securities and Exchange Commission, including today's earnings press release. Except as required by applicable law, the company undertakes no obligation to update any of these forward-looking statement for any reason after the date of this call.  Lastly, information discussed on this call concerning the company's industry-competitive position and the market in which it operates is based on information from independent industry and research organizations, other third-party sources and management estimates. Management estimates are derived from publicly available information released by independent industry analysis and other third-party resources as well as data from the company's internal research and are based on assumptions made upon reviewing such data and with knowledge of such industry and market which it believes to be reasonable.  These assumptions are subject to uncertainties and risks, which could cause results to differ materially from those expressed in the estimate. Please note this call is being recorded.  Kicking off the call will be Dr. Vasilis Gregoriou. Dr. Gregoriou, I'll turn it over to you.
Vasilis Gregoriou : Thank you, operator. Good morning to everyone listening in and thank you for joining us on Advent's first quarter 2023 earnings call. On today's call, I will provide an update on the business. I will then hand over to Kevin, who will give a review of our financial performance and outlook in more detail.  During my last update on March 31, I highlighted that Advent has further consolidated its operations, and it was focusing on the core sectors of mobility and stationary power. This has continued in the first quarter. We remain focused on expanding and executing our commercial pipeline with a view to embed our technology and product portfolio in these key power sectors. The opening of our new facility at Hood Park in Boston represent a significant milestone achievement for Advent, because this will provide a fair market for this is growth in North America. Hood Park encapsulates R&D and production facilities, as well as our headquarters. Its commission has expanded our global footprint for manufacturing.  We also continued our capital investment program and state-of-the-art equipment that's required to complete our scale-up production capacity. We intend for this progress to continue toward large scale manufacturing as soon as our Green HiPo project commences.  The broad support for the energy transition through legislation and economic incentives is now growing globally. We believe that the future demand for Advent's high temperature PEM technology and related products will create a significant opportunity and we believe Advent will be ideally positioned to capitalize on this.  In the first quarter, we continue to execute on our strategy of innovation, commercial focus and market permeation. We look forward to growing our commercial activities and achieving long-term profitable growth. Our business focus is on the production of advanced fuel cell materials, leading to direct sales, the development of advanced fuel cell systems and joint development agreements in collaboration with OEMs which enables further long-term licensing agreements. The latter is expected to deliver revenue consisting of milestone payments and royalties, which will provide the upside to our business.  I will now give you an overview of key business updates. In March, Advent and Hyundai announced the conclusion of a successful technology assessment. The assessment evaluates Advent's proprietary MEA technology for supplying Hyundai's high-temperature fuel cell needs, and following success, the two companies entered into a joint development agreement. This agreement solidifies Hyundai as one of the world's leaders in fuel cell technology to further develop the high temperature PEM technology in collaboration with Advent.  The first step of the JVA focuses on MEA. Advent's goal is to provide its MEAs and its high temperature PEM fuel cell development expertise to co-develop with automotive manufacturers the next-generation of fuel cell systems for heavy-duty mobility. Advent would pursue strategic joint development agreements to achieve its goal of supplying key MEA components and technology to the mobility market.  In the maritime sector, in February, Advent announced a new collaboration with Siemens Energy offering sustainable solution across the entire energy value chain. Advent and Siemens Energy will work together to develop a 50-kilowatt to 500-kilowatt marine time fuel cell solution for a range of super yachts, which will provide a sustainable and reliable source of auxiliary power and offer improved power density. This maritime fuel cell solution is initially expected to be used as a hybrid power source, enabling clean electricity generation instead of using conventional diesel engine and generators for procedures, such as anchoring and maneuvering.  As part of the agreement, Siemens Energy has placed an initial order of 20 Advent's methanol-powered Serene fuel-cell systems. Following the completion of the project, the two partners will explore the potential of development similar solutions for a wide range of business applications beyond maritime, such as industrial power solutions.  In March Advent announced that they opened up the new R&D and manufacturing facility at Hood Park in Boston, Massachusetts. Located at the heart of one of Boston's newest innovation and R&D communities, the Hood Park facility will enable Advent to scale up and deliver on the increasing global demand for electro-chemical components in the clean energy sector by including state-of-the-art coating machines to support the seamless transition from prototypes to production rounds for advanced membranes and electrodes, a complete analytical facility dedicated to quality control, performance analysis, and improving product lifestyle.  Fuel cell and water electrolysis test station for statistical process control and development of next generation MEA materials and a mechanical engineering lab for development automated assembly processes for MEAs.  One of the products that we manufacture at Hood Park is the Ion Pair Advent MEA, which is currently being developed within the framework of the L’Innovator, the company's joint development program with the U.S. Department of Energy. Advent intends that these proprietary fuel cell products such as Serene and Honey Badger 50 will incorporate the Ion Pair MEA beginning in 2024. The company expects the introduction of the Ion Pair MEA will significantly reduce the cost of our Serene flagship product suite and thus expand the immediate addressable market.  Furthermore, the expected system increase in power plant and lifetime with highly differentiated Advent's fuel cells in the heavy-duty mobility industry.  In May Advent and BASF Environmental Catalyst and Metal Solutions a global leader in precious metals and catalyst jointly announced an new agreement to join efforts in building a closed loop component supply chain for fuel cells and enter discussions to extend the partnerships into the field of water electrolysis. For 20 years, BASF Environmental Catalysts and Metal Solutions has been a leader in membrane and MEA technology for high temperature PEM fuel cells, with a strong foundation in precious metal cells and catalysts.  High temperature PEM fuel cells operate at 120 to 180 degrees Celsius, offer a broad operating window and tolerate impurities in the hydrogen fuel cells. The fuel cells also enabled simplifying cooling and need no humidification. Advent offers competitive fuel cell systems for stationary and portable applications based on methanol an on-site reforming.  In the future, high temperature PEM fuel cells will also be available for heavy-duty, mobility and maritime power. The scope of the agreement includes the BASF's role in scaling up MEA production at Advent's plant, state-of-the-art manufacturing facility in Western Macedonia, Greece, while offering Advent its full portfolio products and services to enable circularity in key material.  Both companies will cooperate on BASF's latest membrane development Celtec-Z and the new Ion Pair MEA by Advent, aiming on the group performance lifetime and cost competitive.  Finally turning to Green HiPo I was elected as the Chair of the EU Important Project for Common European Interest Hy2Tech Facilitation Group. The election took place at the first general assembly for Hy2Tech and Hy2Use to the European Union's IPCEI's. The General Assembly was held in March in Berlin and was attended by executives from companies with projects ratified by the European Union under the IPCEI framework, as well as government and EU officials.  Advent's Green HiPo project received a notification in June 2022 for up to €782.1 million in funding from the Greek State, the highest amount of funding received for the project under IPCEI Hy2Tech. The European Union officially ratified the project in July 2022. Green HiPo will be based in the Western Macedonia region of Greece, where a state-of-the-art facility will be established for the R&D production of the innovative fuel cells, electrolyzer systems for the production of power and green hydrogen respectively. We have already progressed identified a suitable site and have now purchased the site and commenced planning. Advent is actively working with the Greek state for the timely sign of the contract. We look forward to reporting on future progress.  Advent is well-positioned to take advantage of the current focus on clean energy. We're continuously developing our technologies and consolidating our operations to address new and key opportunities. We'll have a product portfolio that's focused to enable a greener economy, one that will abate the reliance on fuel cell -- on fossil fuels, and will disenfranchise energy supply markets, therefore providing energy security to communities and economies.  With that, I would like to hand over to our CFO, Kevin Brackman.
Kevin Brackman : Thank you, Vasilis and good morning everyone. Turning to our financials. We delivered revenue of $1 million in the first quarter, and income from grants of $0.5 million for a total of $1.5 million. R&D expenses were $3.1 million in the first quarter, primarily related to internal R&D costs incurred in each of our businesses, as well as our cooperative research and development agreement with the Department of Energy.  Administrative and selling expenses were $8.5 million in the first quarter. Combined with R&D expenses, total operating expenses were $11.6 million, a year-over-year decrease of $1 million, primarily due to administrative cost reductions implemented throughout 2022, which were partially offset by an increase in research and development expenses.  Net loss in Q1 was $12 million or $0.23 per share. Unrestricted cash reserves were $19.5 million as of March 31, 2023, a decrease of $13.4 million from December 31, 2022, driven by R&D and administrative and selling expenses, as well as annual insurance renewals, a $2.2 million increase in inventory and $1.9 million of CapEx spending in the first quarter. Our existing cash balances and projected operating cash flows are not expected to be sufficient to support planned operations for the next 12 months.  However, as Vasilis discussed earlier, we have been working actively with the Greek state for a timely implementation of the funding mechanism for the Green HiPo project. Additionally, we have been evaluating various opportunities to raise additional capital. And in April this year, we finalized an agreement for an equity line of credit with Lincoln Park Capital, which gives us the option to access up to $50 million of capital over the three-year term.  The use of this equity line of credit is entirely at Advent's discretion and provides us with an effective buffer if required, that can be used alongside other sources of capital. In the meantime, we will manage our cost structure closely and capitalize on opportunities to reduce costs where possible.  I will now turn to our outlook. Advent entered 2023 with the strong pipeline of opportunities. As we all know, however, not every opportunity in the pipeline will transpire due to factors that are beyond Advent's control. Opportunities may not materialize or could be delayed. Due to the long-term contract nature of our business model, the timing of our revenue can also be difficult to predict. Due to the level of uncertainty caused by these factors, we are not providing a revenue outlook for 2023 on this call. However, we expect to provide an outlook for revenue and income from Grants on the next earnings call.  With that, I will hand back to the Vasilis, for closing remarks.
Vasilis Gregoriou : Thank you, Kevin. Advent has significant opportunity for its technology, advanced materials, and fuel cell system products. Along with Hood Park, the Green HiPo project will cement our global reach and focus in the mobility and stationary power markets. Advent is a clear energy technology company, developing innovation and products for key sectors that require clean energy. We look forward to growing the business and to keep you abreast of developments.  I would like to thank you all for joining us today. And we're ready to answer questions from the company's analysts. Thank you very much.
Operator: Thank you. [Operator Instructions] And we'll take our first question from Sanjay Jha at Panmure Gordon.
Sanjay Jha : Yes. Good afternoon from London. I just want to check, how important is this BASF agreement in winning business for fuel cell systems? Can you give me some examples of whether this has opened doors for you?
Vasilis Gregoriou : Yeah, thank you, Sanjay, great to hear from you. The Advent, again is very significant. Because first of all, it endorses the technology -- our technology, and also, our security, if you will, the supply chain. This is very essential for these long-term and the scale up of the business. As we know, BASF is a global leader. They have been for a long time on high temperature PEM. We collaborate with them for a long time as well. Our products with a licensed with them.  And now we have this tremendous opportunity with the Green HiPo project and the new facility we're going to build to co-manufacture this thing, to work together also on the scale up of Ion Pair there. So that's very important.  The second very big benefit for us is the management of the precious metals. As you know, the more we start selling all of these things become very, very important and closed loop process of these materials are a key. You need a giant like this, along with us, in our opinion to go the next level, get the prices down and make the customer very happy about what they get. Because now -- and I'll take the opportunity with BASF we have big companies here.  If you dial [ph] in the synergy, and also big organizations with Los Alamos that are very excited to work with us. They have their own announcements. We tag along with them. And these are the long-term relationships we always wanted to have. And we're very excited to have these people with us and BASF in particular, to your question [ph]. Thank you. 
Operator: We'll go next to Jeff Grampp at Alliance Global Partners. 
Jeff Grampp: Hello, thanks for the time. I was -- question on the Ion Pair. Can you guys quantify it all to the extent you're comfortable, kind of the cost reduction expectations you may have for this? And then regarding the rollout in 2024, I'm curious, obviously we're only in May of year '23. But is there any kind of pipeline building yet at this early stage that you guys can comment on?
Vasilis Gregoriou : Yes. Yeah. Thank you for the question. Now regarding the Ion Pair, as you know, this is very revolutionary, is the next level of high-tem PEM. You remember the low temperature PEM requires fuel hydrogen. It has environmental issues, you have to take tremendous care of the humidity. And that when it comes to tracks and things like that, it's very difficult to have a final product as we've seen.  So for that matter, all these big companies Hyundai and the other I named [Indiscernible], which is another giant, but also Alfa Laval Energy. They all are very interested in a high temperature PEM.  Now with the existent decks, we got that fire. The Ion Pair promises to be, two times at least power density, two times the lifetime, which as you know, immediately becomes four times better product. And it is our belief that we're going to have these very exciting new MEAs in our products in 2024, which is say it's not quite far away. So for us, this is a big step. And we put a lot of effort there. But so far, it looks actually very, very good.  Now, regarding the pipeline, let's take a look about what were we talking about? You remember before we have built the sales pipeline on the telecom. And we said that unfortunately thing that happened last year, we actually have certain telecom operators that they divested their telecom towers to Towers Common. So what we will now work with the Tower Commons themselves, in order to help these sales.  As you know, this is a long sales cycle. But we'll have successful proof of concept. One of the things that we've been tasked Tower. So one part of our pipeline will be built on that.  The other is from the marine and automotive, you've seen the progress that we make there with the San Lorenzo's and the Hyundai. And the third thing like next year, a lot of things will depend on the defense products, the Honey Badger, which are now we are in the pre-production stage, if you will, and go no go will be for production of a lot of these systems in 2024, pending the approval from the DoE.  As Kevin said, because the IPCEI is such a monumental change for the company. And it really has a lot of money associated with it. We will provide, in my opinion, a very detailed expectation for next year in our next call, after the end of the Q2.
Jeff Grampp: Great, thanks for that detail. If I can sneak one more in on the Green HiPo project. I think you guys said in your prepared remarks that you have a site purchase, which is great to see that project moving forward. Can you talk to the extent, given that there's some funding, or should I say a lot of funding, obviously, but out of your control, given the timeline there, can you still kind of dual track some of the pre planning or precede kind of items to the extent you can accelerate the project given that some of the funding is obviously out of your control from a timing standpoint?
Vasilis Gregoriou : No, very good question. Thank you. Yeah, we ran this project, as it will got. Our inclusions and if you will, and commitment and believe comes from the fact that the Chairman of the IPCEI now I see a lot of things that are happening at the European level. We're talking about $5.4 billion that they will go. A lot of contracts already signed, we're not that behind to be honest. It's just not -- Europe does not -- two things unfortunately, I cannot say the same day or something like that. So we expect that things will happen for us relatively soon, okay. We cannot say the day for obvious reasons, but we think it's going to be soon.  And also in the meantime, we'll schedule all our R&D development work. We have identified the site, we bought the size of beautiful site in Kozani. And we're ready to announce it when we have the signature.  And also we have entered into these agreements which for me are very important, the strategic partners like BASF that we announced and some others we cannot announce right now but we will announce the appropriate side, that will show to the world that this thing is going to be a true giga factory, if you will, that will help -- actually doing what we all want to reduce the price. Because our products are very good but as you know they're expensive. So in order for us to go to the next level, we have to actually scale up and manufacture is the only way to do it and with established manufacturers. Because keep in mind, we come from the R&D side. I think the people, our manufacturers are doing a magnificent job in Denmark, in Germany primarily. But at the end of the day, when you have giants from manufacturers like BASF, and then we will talking about, I think things will become 10 times much more.
Jeff Grampp: Greatly. I appreciate all those details. Thank you.
Operator: [Operator Instructions] And we'll go back to Sanjay Jha at Panmure Gordon
Sanjay Jha : Yes, just a follow up, the contract for us in Asia. Are you the sole supplier and can you give some more details about how the whole project is going to work out for you?
Vasilis Gregoriou : Yeah, we're very happy about it. Because first of all, it came after rigorous testing by the customer. So we're selected, and as a significant order, if you think about because MEA piece. Also be initial orders, so future orders will come and we expect to be the sole supplier, because we built this relation.  I want to take also the opportunity to say that China and India, they will -- they see methanol and biofuels as a very important fuel, because keep in mind, in this part of the world and others, Africa as well, liquid fuels are a key. We don't expect that you will build gas pipelines and hydrogen pipelines anytime soon. However, it's much much easier to carry around liquid fuel and the availability of this particular fuels are there. So we feel that there is a great future.
Sanjay Jha : Thank you.
Vasilis Gregoriou : Thanks, Sanjay. 
Operator: And at this time, we have no further questions. That does conclude the question-and-answer session.
Vasilis Gregoriou : Madam, if you do want to conclude, I want to take the opportunity to answer some of the questions from retail, if you don't mind. So give me a little bit of time.  There are some questions, a lot of them will have already answered. I think, Kevin, if you want to say something about Lincoln Park, or all these options that we have as a NASDAQ-listed company to get capital when capital is needed. So maybe you want to say a couple things about that. And I'll go to the next.
Kevin Brackman : Yeah, sure. Thank you, Vasilis. So as I mentioned in my comments today, the Lincoln Park facility, the equity line of credit, gives us the option to access up to $50 million of capital over the three-year term of the agreement. But we're not required to use the facility. So it's entirely Advent's discretion on whether or not we utilize the equity line of credit with Lincoln Park. And so the way I view, it is we it buys us time and flexibility as we continue to evaluate and pursue other sources of capital. And so we that's why, we thought it was prudent to have a facility like that in place.
Vasilis Gregoriou : Okay, thank you. Now regarding Hyundai, I think we answered. When it comes to some marketing videos or questions about it, I think we have very nice video that came out the last few days. I think it shows to everybody that we have facilities, they are state-of-the-art. And you have to keep in mind that there was always this discussion internally, how much we're going to show. People are going to in fact, and I say, copy our gas lines or whatever. Of that -- of the position that we have to show things as much as we can to convince people and excite people also, that we're there. So, we will have more marketing videos, if you will, first, of all of our facilities.  And second about the new things that we do also in electrodes at Advent.  Regardless how much we believe in the company? As a larger I cannot say, private shareholder, and also my team here, we have not sold one share once -- we have not sold once in all these years, almost 20 years for me. So that shows the great competence we have in our company and in our ability to have a better future that we basically have now. Because a lot of the things that are happening right now that has to do with market positions we believe not necessarily of how we grow. I think we grow at tremendous pace.  And every sale that you might see over that has to do with stock option, taxation piece in the U.S. You sell some, you get some stock options, or somebody's use. You got to pay the tax, but none of it is the real sale. So in that respect, we're fully aligned and 100% behind it. And we believe very much in the future of this company.  Now, regarding the U.S., we do get senior people, we got some senior people now, in Livermore, we're going to get some more senior people. Keep in mind, we have to have realistic expectations, I think we grow at a tremendous rate in very unfavorable market conditions. So we need to make sure that in the end, we're going to be victorious. So we have to run it at the pace that we think is, how can I say, realistic and logical.  Now, when it comes to renumeration policy and all that stuff, as you know, we will not going to get any bonus for 2022, that's our own decision in a way, because we still that that was the right decision to take.  Now, but Hood Park, I think we've discussed a lot about Hood Park, it's both R&D and manufacturing. So it's going to be our manufacturing place in the U.S., eventually. And we have great expectations from that.  So now regarding the -- what can I say, optimization of the workforce, absolutely. Now we will look at these things very close. And we believe that when we actually prove through couple of acquisitions, as you know, there always things that they can be a little bit better. I think Kevin, talked about this in the last couple of calls. And we both continued monitoring the situation, how much we spent versus what we actually get out of it?  Now, since we produce so many wonderful products, why we don't have actual sales? That's not true. We have sales, and we did talk about it. The question is why we don't have more sales? The fact of the matter is that we have relatively expensive products, a product that they go, as we said before, to people that they do want the environmental advancement that we get from them, plus, we have -- we're selling to places that in addition to environmental advantage, the total cost of ownership, if you will, is favorable. And these are not the most advanced place, actually they're development world places. So when we need to do, as I said before, is we need to keep on dropping the price keep on making more of these things. And we think in due course, our sales will come up.  Now regarding the Kozani location, I think I did talk about it. We bought the site, we're ready to go. Second car manufacturer, we cannot talk about it because they don't allow us but, do your own due diligence, they will stick with this. We don't have much update on the hydrogen to have the U.S. we just need to know update there so far. But in our opinion, overall, that's why we're talking a little bit more about the long-term. If this is happening, hydrogen is happening, it's going to happen in Europe mostly, and the U.S. is going to follow because of geopolitical reasons as well.  So that's why we're excited to be in electrolysis, that's we're excited to actually finally have this kind of brand names, working with us, been excited to work with us. So I think this is a matter of time.  I did answer the question about the Honey Badger. For aviation, yes, we do have a lot of discussions. We're going to again announce some good things when we can announce them. And for the electrolysis, yes, we believe very much in the alkaline membrane electrode, as you will see, again, the technology of the future. It combine the two, it combines PEM and alkaline. We have very, very good take there on our state but we have very, very good take. Thanks to the efforts that they've been having in the last few years. When we saw that green hydrogen is going to grow at that rate, we're talking -- it's an amazing rate. In my opinion, it reminds us a little bit well, how the internet was in the late-90s. People say it's going to grow at 10,000%. And some people believe it, and some people say, no, it's not gong to happen. So that's what we believe now with green hydrogen also. Other people say, no, no, it's not going to happen. And we say, yes, yes, it's going to happen and it's going to be massive. Okay, so we have very, very good technology there as well. And we're ready to actually, make commercial products from that.  In the meantime as well, we are, of course, looking at the existing technologies. Because there is this demand for capacity, if you will. And there's a lot of demand for today's product, so that we do have our strategic discussions in place, and we will announce them I guess in the appropriate time.  So with that, I think we're ready to conclude. I don't know Kevin, if you want to say something more?
Kevin Brackman : No. I think that wraps up the call today. And we appreciate everybody joining us.
Vasilis Gregoriou : Yeah, thank you very much. Bye, bye.
Operator: And again, that does conclude today's conference. Thank you for your participation. You may now disconnect.